Operator: Ladies and gentlemen, thank you for standing by. And welcome to Ternium Third Quarter 2020 Results. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session [Operator Instructions]. I would now like to hand the conference over to Sebastian Marti. Thank you. Please go ahead.
Sebastian Marti: Good morning, and thank you for joining us today. My name is Sebastian Marti, and I am Ternium’s Investor Relations and Compliance Director. Ternium released yesterday its financial results for the third quarter and first nine months of 2020. This call is complementary to that presentation. Joining me today are Ternium’s Chief Executive Officer, Maximo Vedoya and the company’s Chief Financial Officer, Pablo Brizzio, who will discuss Ternium’s business environment and performance. At the conclusion of our prepared remarks, there will be a Q&A session. Before we begin, I would like to remind you that this conference call contains forward-looking information and that actual results may vary from those expressed or implied. Factors that could affect results are contained in our filings with the Securities and Exchange Commission and on Page 2 in today’s webcast presentation. With that, I turn the call over to Mr. Vedoya.
Maximo Vedoya: Thank you, Sebastian. Good morning, and thank you very much for your participation. We really appreciate your time and your interest in our company. And I think especially today when I think some other things are happening, which keep us little bit busy or our mind there. Since our last conference call, there have been significant advances toward a more normal environment in the steel industry. Steel demand increased as lockdowns and restrictions to operate for different industries were relaxed in the third quarter in all our markets. We continue to operate our facilities under strict sanitary protocols. As discussed in previous calls and in this scenario we can be able to increase operating rates to close to full capacity. In situations like this is when Ternium can demonstrate its operational flexibility. During the second quarter at the worst of the pandemic related restrictions will Ternium's current steel production by almost 30% compared to the first quarter. Then in the third quarter, we took production back up to an even higher level than that of the first quarter of the year. I'm proud of how quickly our people was able to react to these big changes in the market environment. Steel prices in North American market has also been healthy as they recover strongly from a very low base back three months ago when we had our last conference call. The higher shipments made possible by Ternium's operational and excellence. Together with the improvements in the price scenario enable us to report third quarter results that was significantly better than what we anticipated in our last conference call. Shipments increased 16% to 2.8 million tons, not yet back to pandemic levels -- to pre-pandemic levels but on our way there. EBITDA was $353 million with a margin of 17% or $124 per ton, also a significant increase, with expectations of more to come in the fourth quarter of the year. Free cash flow remained at a very high level as they did in the previous quarter with 389 million in this quarter, driving another decrease of net debt will reach just and $562 million at the end of September. During the third quarter, we were able to restart our main CapEx projects, including the new hot rolling mill in Mexico, of which we continue to expect a commissioning by mid next year. We also resumed the final commissioning of the greenfield Ribera facility in Colombia. In this regard, I'm very glad to announce that in Monday, two days ago, we produced the first bar out of this new facility. The new mill will enable us to substitute imports of reinforcing bars in Colombia, with total capacity equivalent to approximately a third of the market. With this facility, we will be the only producer of in the north of the country. This new capacity will also contributed to an increase in competitiveness with a lower cost of production than our existing facility. And we will also be able to broaden our product offering, integrating this new capacity with our existing facilities in the country. Let me now make a quick description of the situation in our main market. In Mexico, we recovered in the third quarter, a little over half of the volume we lost in the second quarter. We now expect shipments to return to pre pandemic levels in the fourth quarter. We are seeing a continued recovery of shipments to the automotive, household, appliances and HVAC industries, driven by solid end-user demand in the US market. We also expect shipments to the construction market to sequentially improve with steady demand from small construction and various government infrastructure projects like the new airport in Mexico City, and the new refinery. In Argentina, following record low shipments in the second quarter of the year, volumes recovered in the third quarter of 2020 to levels similar to those seen in the same quarter two years ago. Although, the Argentina government successfully restructured its debt, uncertainty in Argentina continues to be high. The country continues to have macroeconomic challenges that it will need to overcome with reforms and time. If there are no negative news at the macro level, we could have an additional sequential shipment increase in the fourth quarter as the steel end markets continue to advance purchases. In Brazil, the steel market environment improved significantly over the last months and this has supported increased flat orders level in the domestic market. The auto industry is recovered nicely in Brazil and the performance of the country's GDP in 2020 is going to be the less affected by the pandemic among the Latin American economies. Our scrap facility in Rio is currently working at full capacity, and we expect it to maintain in the fourth quarter of a high level of integration with our mills in the region it had in the third quarter. Prices of slabs in the global market has also improved over the last three months and this has driven a recovery to more normalized margin levels in this facility. I keep it short this time. So we have more time for Q&A section and the review of the quarter. Summarizing the profitability of the company is improving, and we have positive expectations for our performance in the fourth quarter of the year. Needless to say, although, shipment levels in all our markets are currently strong uncertainly persist about the future cost of the COVID-19 pandemic and the measures government around the world could take to contain it. As we have seen in Europe, it is evident that the pandemic is not over, so we will continue to take a cautious stand. We also continue working hard to help our communities endure the effects of the pandemic, with all the initiatives I detailed on our previous calls. I am particularly proud of how the field hospital we build and operate in Monterrey is supporting the health of those in need in the local community. Looking ahead into next year, we are very much looking forward to the commissioning of our new hot rolling mill in Mexico. I believe this will be a game changer for Ternium, not only from a growth perspective but also from a competitive point of view, always with the goal of sustaining our high profitability levels related to our competitors. I am also very positive about the future of the steel market in the US MCA region with our expansion projects in the last stage of development, I believe Ternium will be a unique position to take advantage of the USMCA's many benefits. All right. We are very like to review in more detail the third quarter results. Please, Pablo, go ahead.
Pablo Brizzio: Thanks, Maximo, and good morning to everybody. Let's review Ternium’s results for the third quarter of the year. As Maximo mentioned, you will see that our performance improved significantly in the third quarter. Over the last couple of quarters, we worked hard on sustaining Ternium’s profitability as well as on strengthening our balance sheet, to cope with the difficult environment in our market-related to the COVID-19 pandemic. Let's see some of the results of these efforts. Starting on Page 3 on the webcast presentation with the company's quarterly EBITDA and net results. We have a significant EBITDA recovery with $353 million in the third quarter. There was a sequential EBITDA margin expansion of 400 basis points or $33 per ton. We will discuss this in more details in the next slide. Net income in the period was $173 million or $0.74 per ADS. The results compared to net income of $44 million in the second quarter [Technical Difficulty]. So I was saying that the result of net income of the third quarter compares to a net income of $44 million in the second quarter [Technical Difficulty]. And clearly the second quarter was weak because of the consequences of the pandemic of COVID. So let's look forward to the fourth quarter. The expectation is for a sequential increase in shipment and higher margins should result in a strong set of numbers. Turning now to Page 4. Let's review in more detail the degree of the recovery in the shipments, one of the positive surprises in this third quarter. And so in the upper left-hand side chart, in Mexico, shipments increased 23% on a sequential basis in the third quarter. They were down by 11% if you compare it to the last year. In the fourth quarter, we expect shipments in Mexico to continue recovering, reaching pre pandemic levels. In the southern region, shipments in the third quarter revolved from a very weak second quarter, as shown in the lower left-hand side chart and were up year-over-year by 9%. If current market dynamics continue we should see a further volume expansion in the fourth quarter. In the other market region, finished shipment increased sequentially and on a year-over-year basis in this third quarter, as you can see in blue in the upper right-hand side chart. As for slab shipments to third party, in the same chart in gray, they decreased both in sequential and year-over-year comparisons. During the third quarter, we were able to further integrate Ternium S.A. facility in Brazil with the company's industrial systems up to a level that resulted in a reduction in the volume slabs shipped to third parties. In the fourth quarter, we expect the similar volume slab shipped to third parties. Turning to the next page. You can see in the upper left hand side chart, the result of these developments. We've consolidated shipments of 2.85 million tons in the third quarter, up 16% sequentially. In the fourth quarter, we expect consolidated steel shipments to increase sequentially based on higher volume in our key markets as already discussed.  Turning now to revenues. Average realized price increased 5% in the third quarter, as we see in the upper right hand side chart. This is mainly explained by a sequential increase in the value of our sales mix as these prices in the North American market experienced a very strong revamp since our last conference call. We were expecting this to happen, but not in the magnitude is actually did. The improvement is prevailing steel prices was mostly offset by weaker industrial contract related prices as a result of the lag price reset. This strong price in background will drive an increase in revenue per ton in this region in the fourth quarter of the year. Let's turn now to Page 6 to review the main sequential changes in EBITDA and net results in this quarter. The rebound in EBITDA reflected the recovery in shipments and improved profitability. EBITDA margin increased sequentially, mainly reflecting an increase in revenue per ton, partially offset by slight increase in operating costs per ton. The high operating income led to a sequential improvement in net result, as you can see in the bottom chart. In addition, we have a better result from equity in earnings of Usiminas and higher income tax. The change in EBITDA shown in the chart reflected the year-over-year decrease in shipments and EBITDA per ton. EBITDA per ton was negatively affected by lower steel prices, partially offset by lower purchase slab, raw materials, energy and labor costs per ton. As for the year-over-year changes in net income in the bottom chart, in addition to the decrease in operating income, you can see the effect of the net financial results of a significant fluctuation of the Mexican peso, the Argentine peso and the Brazilian real versus the US dollar during this period. We also had an year-over-year higher income tax. The main reason behind this was a non-cash deferred tax loss in the nine months of the year in comparison -- in connection with the Mexican peso 16% and depreciation in the figure. Now to finish and before opening up the call to your questions, let's review on Page 8 Ternium’s free cash flow, capital expenditure and net financial debt. You can see in the slide strong set of numbers. With the measures taken in the last two quarters, Ternium has achieved a strong financial position with ample liquidity and net cash provided by operations activity reached 1.4 billion in the first nine months of this year, including $628 million working capital release and capital expenditure decreased significantly to $440 million in the previous. All that we take into consideration everything that we've just mentioned with last net debt down to $562 million as of the end of December equivalent to 0.5 time net debt to last 12 months EBITDA. With the retention of our investment plan, we expect capital expenditure to increase sequentially in the fourth quarter. Okay. These were our prepared remarks. We are now ready to take your questions. Once again thank you very much for your time and attention. Please operator proceed with the Q&A session.
Operator: [Operator Instructions] Our first question comes from the line of Jonathan Brandt with HSBC.
Jonathan Brandt: Maximo, I first wanted to ask you about steel prices, both how quickly we should see the steel prices, that happens in the third quarter and in the US? How much of that should be captured in fourth quarter and how much that will roll into the first quarter? And just sort of what is your outlook on North America steel prices today given sort of everything that's happening and the uncertainty et cetera? And then my second question, I guess, maybe to Pablo is just, if you look at your leverage, say 0.5 times, it's sort of at the lower end of the historical range. So could you kind of walk us through what your uses of cash will be particularly as -- it certainly seems like profitability and free cash flow continue to increase as we go into the fourth quarter? What is the outlook for CapEx? What is the outlook for dividends? What are some of the other uses of cash? Or should we expect leverage to remain at this sort of level? Thank you.
Maximo Vedoya: Let me start with the steel prices. I think that's two part of the questions. Steel price is clearly you see in our results, we took advantage a little bit of the increase in the prices and of course, we are going to take a little bit more advantage in the fourth quarter and I guess in the first quarter. Remember, Ternium part of our sales, our contract prices and part are spot prices. And so during the fourth quarter and probably during the first quarter, we're going to see an increase in prices from shipments from Ternium depending on the mix but probably it’s going to be an increase. On the outlook, I mean, when we had our last conference call, I remember I was telling you that prices in the US was very low and it was incredible that local markets in China for the first time I think 10 years were below the local -- where are up sorry, the local prices in the US. So that we haven't seen that for the last 10 years and so we expected prices to go up. It went up a little bit more quickly than what we thought. And I think that this level of prices should remain, I mean this environment should continue over the next couple of quarters. Demand is good in the US and Mexico in this region. I think our customers, our consumers are structurally very solid, industrial manufacture is also increasing. And so I think that from the demand side, I think it's strong. The increase in rate it's only 70% and the lead times are quite long in the US. So I think that if the US producers continue with this functionality, I think we are going to have several quarters with this bright environment, we are expecting that. I think that answer the first question. The second question I ask Pablo to start and then I'm going to comment on a more longer view in that questions Jon.
Pablo Brizzio: I think that we can take these questions in two different ways. The first one is a short answer to what Jonathan was asking. Clearly the fourth quarter will be a little different from what we saw during the last two quarters where we had a real CapEx and an increase on the working capital that we released together with very strong numbers coming out from the operation of the company. So that's clearly very positive. In the fourth quarter, we will continue to have cash flow from operation on the strong level. But clearly, we will have, first of all, an increase in our CapEx from the third quarter to the fourth. We are expecting more than that to the level of CapEx in the in the fourth quarter. We are expecting to reach the level that we originally said of around $600 million of CapEx for the year. As Maximo mentioned, we are restarting fully the plants that we have and clearly also its very difficult to continue releasing and working capital with the new level of production that we have, the new level of sales and of course, the new level of pricing that increase the value of our inventories but also increase the value of our receivables. So clearly, it will be a quarter with a very strong cash flow from operations but with a reduction in the level of free cash flow because of both things. The reduction -- the increasing CapEx and the increase in working capital. All in all, no matter that we will continue to keep having reduced number of net debt. But I think this leads to probably an answer in the longer run. So I think that Maximo can take now these answer and expand on the view, on basically the capital allocation of the company.
Maximo Vedoya: I mean I think the answer of the cash usage clearly, as Pablo said we are generating good cash flow and what are our thoughts of the future. I think that three years ago we started a very aggressive or very important investment program for us. This program started with the acquisition of CSA in Brazil, which allow us to produce -- at our state-of-the-art facility and allow us to produce a whole new range of steel, which we're not able to produce that before. Then continue and months later of the acquisition with the launch of our investment programs -- program in there in the greenfield facility in Mexico. The galvanized painting, the hot-dip mill, which -- those were capex programs very strong and mission of that was that we don't want to change substantially, we are changing already. The wait and you watch, going to new markets, much more sophisticate, much more value-added products. We are about six, seven, eight months of finishing that investment program. And so, we are now looking that -- and we continue to see that they are good opportunities to turn into continue growing of using that cash. I think we can mention three, one is Mexico, we are very optimistic of Mexico or the NAFTA region or the North American region, I think that their part of construction field has to increase. I think all the deals that we have made within USMCA, all these trade wars, regardless of who won in the U.S., it's going to continue. because it's good for the people and I think that our power consumption is going to increase and we are very well positioned to take advantage of that. So there is going to be probably expansions in the Mexican -- in our Mexican facility. The second thing is the melted-and-poured in the automotive industry in North America. As you know, we are part compliance of that but we are not fully compliant. So we have time seven years, so we tend to see what is our best option, we're not consolidated today but we are going to be compliant. And the third is of course, how we maintain our conservative balance sheet but we also give dividends to our shareholders that's the thing that we should continue doing and we want to do. And last I think our track record shows that we also grow by taking advantage of different opportunities. And I think that in this market, there's going to be -- and I do believe there's going to be opportunities in our region for Ternium to grow. So I think this -- I hope Jon and sorry, I was wrong, but to answer the full question of your.
Jonathan Brandt: Just to follow-up, I mean, it's -- would you see the potential for further M&A as path forward for growth?
Maximo Vedoya: I mean, we don't have any particularly now, we don't see anything. But when opportunities arrive, we generally take advantage of that.
Operator: Our next question is from Thiago Lofiego with Bradesco BBI.
Thiago Lofiego: Maximo, how sustainable do you think the volume increase in Argentina is and what is your best outlook for 2021 at this point? And then the second question, I'll take a risk here and I'll do the session here. What is your view on the impact of the election scenario on the US steel market, on the North American steel market there? Do you think that…
Maximo Vedoya: You're asking me to be in addition, no…
Thiago Lofiego: It's always good to hear your views. But just to make my question here more specific. Do you think if Biden wins, do you see the government gradually withdrawing from section 232? Do you see any changes in the recent USMCA? So what do you think would happen in a Biden scenario?
Maximo Vedoya: First, let me talk about Argentina. I mean, it's very difficult today to try to make any projections of the demand in Argentina. As I said before, it is not a macro economic problem for quarter, it's going to be good. But there are challenge in Argentina, I mean what is happening with exchange rate. Argentina clearly need some reforms and need time to do those reforms. And so I think we are going to see a very volatile scenario in Argentina. It's going to continue to be high. And I'm not in any capability of saying what is going to happen in 2021 today. So again, we are very cautious on what is our stance on how we operate in Argentina. We continue to be flexible in our operations there and try to -- we are increasing our production, but on a flexible way. Elections in the US, so what will…
Thiago Lofiego: I'm sorry to interrupt you, but still in the Argentina answer here. What are the factors that you think are more -- will be more resilient in a worst-case scenario in Argentina, like the outlook there doesn't improve, actually, if it gets worse, what are the factors that I would say here, we see more resiliency and here, we think we're going to see more of a downside potential.
Maximo Vedoya: I mean, I'm not saying this is going to happen. So don't quote me. But I mean, probably, I mean, the one way out of this is going to be a devaluation in somehow. I mean, when you have these different of exchange that could be an outcome. What happened usually in the devaluation is that most of the market decrease. But then some of the export -- industrial manufacturer continued increases and construction start to pick up also. So for our market, we are going to probably see a downturn if it happens, but there are markets that then it will continue to recover. But again, the government is making a point of trying to solve the situation. And so that's why I said that, that is going to be a very volatile environment for the next couple of quarters probably. Election in the U.S., what happen if Biden wins. To be honest, I don't see a lot of changes regarding the manufacturing if Biden wins. I mean I don't think it's going to change a lot of 232. Probably, he's going to -- I mean, negotiate or be a little bit more flexible with some countries, which shouldn't have been in the 232, probably in the first place. But I mean the -- think of this as regional approach, where a manufacturer has to come back to the region to the US, to Mexico, to Canada, this reassuring thing. It's in the mind of Donald Trump, clearly, at present but it's also on the mind of the democrats. So I don't think there's going to be a lot of changes. I think on the contrary, both candidates are going to try to make stronger manufacturing in the region. If you ask me, one of the things Biden is going to do a little bit more than the actual probably is in the environmental issues, which for us, for Ternium should be a very good thing regarding our environmental footprint and how we are doing a lot of things. But that’s the only change I see really. I don't know if I answer a little bit of your question.
Operator: Our next question is from Thiago Ojea with Goldman Sachs.
Thiago Ojea: I think my first question, I would like to go back to the US price, as Maximo allow me. We saw really a sharp recovery on price in the past few weeks. I think my first question is, I understand that there was a lag compared to the Chinese price, which was unseen before. But do you think this is sustainable, this is just like short-term pickup and should accommodating a lower price level. How should we think about US price going forward? I think this is my first question. And my second question is steel related to the West market. We saw in the past few years a lot of announcements of new investments include a few, I would say, in North America, including a few in Mexico. How do you see now these new investments coming through in the next couple of years. It seems that some of them are on hold. What is the competitive landscape in your view for the next two, three years in North America? Thank you.
Maximo Vedoya: I mean, US prices, as I said, I mean, clearly, the prices has increased in the last couple of weeks or in the last two months, to be honest. And it was a steeper increase than what we thought but we we did see this coming and price is going up. And again, I think that demand is picking up in all our countries. I mean, China demand is going to grow by 8% in the next -- in this year. China, in the last four months was a net importer. I mean usually, China is a net exposure for the last 10 years of steel. In the last four months, it import more steel than the export. Europe is picking up, depends on what is going to happen with new research of COVID but it's picking up. And in Latin America, you saw Brazil, Brazil is clearly a huge increase in demand. So I think for the next several quarters, I don't see an environment where prices going down in the US, and it will depend again on the rationality of the US producer and regarding the capacity utilization. But it will continue today. I think that prices should remain in healthy level for the next quarters. I think that's my opinion. Thiago, I don’t know if I answered the first question there.
Thiago Ojea: You did. So I think now what I'm curious to know, given this current capacity utilization and the new product announcements. How do you think the competitive landscape will evolve in the next few years?
Maximo Vedoya: So basically is the investments they are doing, clearly, there is new capacity coming in more in the next couple of years in Mexico and in the US. And I think it's concerning clearly, but I mean two of these things, first of all our power consumption is going to grow. I mean, I think part of that new capacity is going to grow to this increase in power consumption. I mean, if you see the the consumption in Mexico or the consumption in the US, it's less than two -- in both countries, in Mexico, I think it's 150 kilograms per habitant, in the US, it's a little bit of 240, 260. It depends on how you make the numbers. I mean, if you see China, it's more than 600. If you see Korea, it's 900. If you see Japan with all the manufacturers, it's more than 400. So this has to bring back some of that consumption to the region. That's for sure. So consumption is going to grow. The second thing is that we are going to find imports. I mean, there's a huge amount of imports in Mexico. And so part of this new capacity is going to change or to replace this imports. The third thing is some of this capacity for sure, it's going to compete to other US producers. And there are some of the US producers that are not as competitive and older capacity with higher cost. And so I am not seeing a huge increase in that sense. And the fourth, of course, is we are working to be more competitive than the others in the region, and that's our focus today. I mean, we are doing our facilities as you see in the numbers are clearly one of the most competitive in the region. And so we are very able to take advantage of this increase in consumption, but again, to compete with the new capacity that is arousing.
Thiago Ojea: I would just ask, what is the size of additional capacity that you consider credible to come online in the next couple of years, both in Mexico and US? Do you have any figure that you work on your projection?
Maximo Vedoya: Look, no, I didn't understand. Yes, I'm sorry. The line is cutting. And I didn't understand very well the question.
Thiago Ojea: My question is on this new CapEx that is coming online, what you consider that really will go through like really [Technical Difficulty] capacity that, for sure, will be added in Mexico and in US?
Maximo Vedoya: No, for sure. I mean, the new capacity in Mexico is our new mill and it's not steel consumption but the new mill is coming online. And in the region, I think the new plant in Texas, clearly, they are building it. I don't know the timing exactly but they are building. The new facility of Big River and the new plant at place -- those are things that in the next two, three years are going to be producing at full capacity, probably.
Operator: Our next question is from Carlos De Alba with Morgan Stanley.
Carlos De Alba: So just maybe Maximo or Pablo, could you please comment a little bit more on the first quarter outlook. I mean you mentioned Maximo that the prices in Mexico will probably continue to increase, at least you realize prices or revenue per ton will likely continue to increase in the first quarter just on the lag of the contracts. But could you elaborate a little bit more on what are you seeing in Argentinian prices in the fourth quarter and into the first quarter? And maybe anything that you can add in terms of volumes and perhaps cost, and then I will have a second question.
Pablo Brizzio: Let me take this question. Let me make a caveat first before answering your question. Clearly, as Maximo explained during the initial remarks, we need to see how the pandemic evolves and if there is a second wave in the region. Clearly, things can change but if we do not take into -- that into consideration, we need to take other things into consideration. First one is the seasonality of volumes in the different markets where we are clearly in the Southern region, the first quarter is a seasonally low first quarter. In Mexico, this is more at the end of the year, so the first quarter tends to be relatively good one. So we continue to see the coming quarter with a positive outlook. We are not going to see 100% of the price increase that we are seeing even right now reflected in the numbers of the fourth quarter. So there will be some price increase yet, do we see any price staying at the level of Maximo -- as Maximo view is, we will see also that reflect in the first quarter of the year. So we believe that the outcome or the outlook that we are going to, for the fourth quarter is something that could be sustained with the -- with a transaction that we said in relationship to volumes in Argentina will be sustained enter into next year. The second caveat that we need to make is also the one-time Maximo mentioned, which is the situation in Argentina could make changes in the outlook for volume, but all in all, clearly with a volatility of these projections, we should have a rational quarter in line and what we are expecting for the fourth quarter of the year.
Carlos De Alba: And Pablo, sorry, thank you for that. Just wondering if you're seeing that price there…
Maximo Vedoya: So I think the third caveat, Carlos, amid pandemic. I mean, clearly, I mean, I said, it's not over. And so, I don't know if some governments are going to come back to recession, I think they won't. They learned that it's not very useful and it make a lot of harm to the economy. So I think a possibility because cases are picking up in some of our countries and it [Technical Difficulty]…
Carlos De Alba: No, just on prices, Pablo. How do you see prices in Argentina?
Pablo Brizzio: We continue to see price in Argentina follow international price with -- as usual with less volatility as international prices. So we don't see much changes in prices in the region. Of course, if there is some changes in the foreign exchange rate, this will impact us, as usually happens in the short run but we will be able to sustain a pricing level as currently we are seeing in our markets.
Carlos De Alba: And then my second question is on 2021 CapEx, if there is any ballpark number or range that you can provide. And then, you could maybe talk a little bit more about the timing of the restart of the hot roll line in Mexico, which you said next year but you can -- you could refine a little bit more the timing of that and how much production do you expect to have -- incremental I guess, production you expect to have from that whole coil line next year? And is there any other updates on project, that will be great.
Maximo Vedoya: Carlos, I am back again. CapEx, I mean, 2021, it's going to be around also $600 million. It's quite the same number as 2021 -- as 2020. So we are seeing that number as capex. Hot-strip mill in Pesqueria, I mean we are -- I mean, the date for starting the hot-strip mill is July but that's the first coil, July of next year. Remember those -- these equipments are very big and difficult, so there is a long ramp-up period. So I think that the effect of the hot-strip mill, we're going to start seeing by the end of the year.
Operator: Next question is from Gabriel Galvao with Credit Suisse. Your line is open.
Gabriel Galvao: So my first question would be regarding Brazil, so we have been witnessing several price hikes in the domestic market and you also mentioned that your plan is to shift part of your third-party sales from the export to the domestic market. So maybe you could provide us some color on how is the relative profitability between exports and domestic sales in Brazil? So my second question would be actually a follow-up on the dividends. So if I remember correctly, you said that dividends for 2020 would remain suspended since you usually only pay dividends once a year, so is this the case here? Thank you.
Maximo Vedoya: I'll start with Brazil. Brazil, I mean what is happening in Brazil is that, the Mexican consumption is increasing and as you remember we have the Ternium facility to make slabs. So we are not in the final market but as the manufacturing production in Brazil increases, some of -- Usiminas, CSN, other companies are asking us to sell slabs to them because they are ramping up production of the hot-strip mills and the cold-rolled on the galvanized lines. What is impressive on Brazil, I think that the number of the manufacture index, the BMI, what we read yesterday and it was high, I mean was record high, so it's increasing. It's not a lot of change in the profitability, we do have some advantage of freight and other things selling to the domestic market but it's not a lot of change in profitability between one, our export market and the domestic market. And let me clarify one point before entering into the second answer. What we said is that there is a reduction in sales to third parties in order to sell this or to send this product to our own operation facilities. Within the third parties, we include the local sales in Brazil. So clearly what Maximo was saying is right that we have increase -- we saw an increase in demand for local -- the local demand but the change from the second to the third quarter was due to reduction of sales or what we report in our financial statement as sales to third parties and an increase of transfers to our old industrial facilities both in Mexico and Argentina. So that's a big change that you saw in the numbers.
Pablo Brizzio: All in all, the production of Mexico or Brazil was higher but this is clear and you should note that we switch from third parties to local market, those are not increased but the switch was from total third parties to internal transfer. So with that verification and Maximo…
Maximo Vedoya: And I thought the question was of the fourth quarter when I did say that we were going to change from other parties to the local. So depends on -- so my part of the answer was of the fourth quarter, Gabriel. I thought you were asking that.
Gabriel Galvao: Actually I was asking about the perspectives for the first -- the fourth quarter because of this price hike and the relative profitability, but of course this clarification also helps a lot.
Maximo Vedoya: And to make clear from what we sell to the third party, in the third quarter, the number is going to be similar in the fourth quarter with the only difference that we are going to ship more to Brazil than to other parties. That's going to be a difference because of this increase in demand in Brazil. But the number of third parties completely, including Brazil, is going to be the same. Dividends, well, you know that the Board -- in April, we make the decision or the Board make the decision to skip dividends payments due to the pandemic and what we were thinking or what we were seeing in that time. I think it was -- I still consider it was the right decision considering information we have available in April, I think it was right decision but it is clear not that the market is recovering much more quickly than what we expected. The Board will propose the yearly dividend payment in February, we do dividends every year, so we are not changing that. But I strongly believe that that Board dividend proposal will take into consideration the skipped dividend payments in 2020 when we -- when the Board makes their recommendations for the dividend in 2021.
Operator: Our next question is from Rodolfo Angele with J.P. Morgan. Your line is open.
Rodolfo De Angele: There is a lot of things we were already discussed so I will have just one question. There are few moments in Ternium's history that changed the company to another level. And we can, kind of, if we go back the acquisition of IMSA, I think was the first one, CSA was another one and I think, Pesqueria could be also one of those moments. We have been getting a lot of questions from investors who are looking at Ternium and they want to try to understand the impact of the new where all the profitability of the company. So my question to you is, can you comment on the range of additional EBITDA per ton that Pesqueria when its fully ramped up will bring to your operation. Just a range, ball park figures, what you expect to see the impact there. That's all from me guys, thank you very much.
Pablo Brizzio: Okay, I will start with the answer and then if you want let's complete on the answer. So Rodolfo, the -- your question is very clear and what we do with every investment that we perform is to try to increase the profitability of the company or the EBITDA generation of the company. Clearly, what we have today, we have an EBITDA margin of 16.5% and projecting an increase on profitability in the coming quarter is everything that we do is to sustain this level of profitability. In the case of Pesqueria facility, as you put it clearly, one other point very important for Ternium and for future of Ternium and is comparable to the one that you said, and Maximo mentioned this in the initial remarks, comparable to the acquisition of CSA. There are different components of profitability in the case of the Pesqueria facility. The first one is substitution of fee imports that we are doing. So we will substitute with production in the new facility, imports of hot-rolled that we are doing today. Second, we will stop utilizing the one facility that we use, which is one of the more sophisticated one, so we will close that down. In fact we have already done that. And so, we will have a new facility, a state-of-the-art facility that will provide a better performance and third, clearly we will increase the product base. So all in all, we are expecting to have more than 2 million tons of net product to sell into the market and they are -- we are -- the number of EBITDA is coming. We will always say exactly the same, our main target and our goal is to sustain the profitability of this company above the 15% EBITDA margin. Clearly, to reach as high as we can but the range, traditionally, has been for us between 15% to 20%. We have some quarter with higher levels than that but they are the ones which we have to work. And everything that we do is to sustain that, so that is my initial comment. Maximo, I don't know if you want to add something to that.
Maximo Vedoya: No, I think its very clear. I mean, I think Pesqueria -- everybody is hearing? There are breaking signs here. No, but Rodolfo, I think that what Pablo is saying is true and you are saying is true. Pesqueria together with the acquisition with CSA, remember this is a combo. It again change for Ternium in the sense that it's a facility that is going to add 4 million to 4.5 million tons and of very high value-added products and a completely new range of customers that we can serve. So again our intention with this is to increase our profitability as Pablo said.
Rodolfo De Angele: Okay, I know -- let me just say this, I know you're already at the 15% of mark today, so what I am trying to do is when investors come to us and say okay, these guys have invested, what's the additional -- where is the impact of that, right? So one thing the 16% is a very shy answer. If we were to think about the project alone, what is Pesqueria bringing in? That's -- now, that can be a ball park figure, a range, is it $20 per ton? I don't know if you can comment on this but I just wanted to insist because as I said this is very important and I see what the market is having the secretly in quantifying it and sorry for insisting but this is my last question.
Pablo Brizzio: No, that's fine Rodolfo, and we need to go through it but what we are trying to say is, it's extremely difficult to put a number exactly to that because it is also dependent on the price of the product, its also dependent on different things, that is very difficult to say. Now we will increase profitability by 2% because among other things, we are having a mix of product that includes of course, new painting product, new galvanized product but also includes hot-rolled products. So the prices are different in this one, so if you want to go through, which will be the EBITDA generated by this facility, well that's a different question. Sustaining prices at what we see today, we are saying here more than 2 million tons with the profitability of EBITDA per ton over $120, $130, you are reaching to a number of more than $250 million of EBITDA per year. So this year, let me correct the number that you said, this quarter we had a 16.5% EBITDA margin. So, I am targeting a higher number for the following quarter. So it's very difficult for us to say that we this investment, we will be able to move to a higher margin than 20%, which is something that you could be expecting for. But all in all, we are -- the expectation for us are huge in these new facility because we will unveil lot of opportunity for not only in the level of free cash flow generation, in the level of EBITDA generation and sustaining margin and trying to increase them but also of all the things that Maximo explained before. So first of all, it's a key investment for Ternium, clearly will increase the level of EBITDA generation until we will -- at least we'll sustain, but clearly, we believe that at some point will increase the profitability of Ternium. It's very difficult to put a number to that taking into consideration the numbers that we are showing. But clearly, as you mentioned, and as Maximo mentioned also, this is a game changer for Ternium and the result will be there. Sorry, not to give you exact number but that is a view that we have with this investment.
Operator: Our next question is from Alex Hacking with Citi. Your line is open.
Alex Hacking: I guess, just a quick one for Pablo. So if I look at the Siderar financial statements, the implied EBITDA per ton was back over $200, during the quarter. I guess, is that a sustainable level there, my current utilization rates and current prices or was there something weird going on with the accounting whereby there was sort of a one-off boost in what that look like. Thanks.
Pablo Brizzio: There were some things in relationship to Argentina, remember that we have still inflation in Argentina, we have devaluation in the country. So when you have this aspect, it tends to increase a little bit the total number of the company. Of course, if we are continue to see exactly this environment, then though that impact of that is increased just because the portion of the cost that is denominated in peso, which is around 35% of the total cost, clearly, those attempts as you calculate devaluation tends to be reduced. So you have a better margin on that respect. So you have these things when you have utilization of the inventory that you have before evaluating that as the prevailing exchange rate at the moment or the end of the quarter. So there are some of this, also clearly, the performance of Ternium Argentina was very, very good. But these things tends to accommodate and to go to more normalized levels. But clearly, the performance on the margins of the Ternium Argentina are high.
Alex Hacking: And then, just one quick one. In your answer to Rodolfo just now, you talked about some like value-added processing for the Pesqueria product. I guess I didn't realize that you had excess kind of paints gal capacity sitting around that you could be utilizing, is there a way you can -- I was kind of assuming that you were going to be selling it all as hot-rolled, is there a way you can quantify how much kind of excess for additional value-added capacity that you have there? Thanks.
Pablo Brizzio: What I was trying to mention is that the total investment in Pesqueria was not only the hot-rolling mill but also the new galvanized line and the new painting line that they are already up and running and they are working almost at full capacity. So it's not that we have spare capacity there or just waiting for the new facility to be up and running. So we have that capacity and we have these -- this was part of the initial capex that enter into at the last of last year -- at the end of last year or beginning of this year. So after the ramp-up period, we are utilizing our facilities. It's not that we have -- they are available capacity waiting for this to be up and running.
Alex Hacking: Okay, I got it. I misunderstood. So the new capacity is effectively just going to be hot-rolled capacity, right, with obviously…
Maximo Vedoya: Future potential to add -- value-add. But, Alex, I think it's -- I mean the new capacity is hot-rolled. I remember the galvanized line started six months ago to produce and the painting in December. So they are still in running. But one thing that the hot-rolled new capacity gives us is new substrate for these lines also. So that gives us the opportunity to make other products and more efficiently in many cases, in the current lines and other products that we are not able to do because we don't have the substrate. So it's going to be a change in the mix and probably we will have some increases in time in our current run -- the current rate of -- at how much we are running this galvanized and painting lines.
Operator: Ladies and gentlemen, this concludes the Q&A period. I'll now turn the call back over to Maximo for any closing remarks.
Maximo Vedoya: Thank you. Okay, I hope this call has been informative and has helped all of you have a better understanding of our company. Thank you very much for participating today, I know it's a challenge today to be hearing to us but thank you very much and I hope you have a nice day.